Operator: Good morning, ladies and gentlemen and welcome to the Univar Solutions' Fourth Quarter and Full Year 2022 Earnings Conference Call. My name is Charlie, and I will be the operator today. Currently, all participants are in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] I will now turn the meeting over to your host for today's call, Heather Kos, Vice President, Investor Relations and Communications at Univar Solutions. Heather, please go ahead.
Heather Kos: Thank you, and good morning. Welcome to Univar Solutions' fourth quarter and full year earnings call and webcast. Joining our call today are David Jukes, President and Chief Executive Officer; and Nick Alexos, Executive Vice President and Chief Financial Officer. Last night, we released our financial results for the fourth quarter ended December 31, 2022, and posted to our corporate website at univarsolutions.com a supplemental slide presentation to go with today’s call. The slide presentation should be viewed along with the earnings release, which has also been posted on our website. During this call, as summarized on slide two, we will refer to certain non-GAAP financial measures, for which you can find the reconciliations to the most directly comparable GAAP financial measures in our earnings release and the supplemental slide presentation, which also includes additional information regarding our use of non-GAAP financial measures. As referenced on slide two, we make statements about our estimates, projections, outlook, forecasts and/or expectations for the future. All such statements are forward-looking. And while they reflect our current estimates, they involve risks and uncertainties and are not guarantees of future performance. Please see our SEC filings for a more detailed summary of the risks and uncertainties inherent in our business and our expectations for the future. With that, I’ll now turn the call over to David for his opening remarks.
David Jukes: Thank you, Heather and good morning, good afternoon, and good evening to everyone, and thanks for joining our call. The record results we achieved in 2022 demonstrates our successful transformation and the solidifying of our position as a leading value-added service and solutions provider, meeting the needs of customers across a diverse range of end markets, from healthcare to nutrition, to electronics, and many, many more. I'm immensely proud of the tireless efforts of my colleagues who throughout the year continue to put the customer at the center of all we do to deliver both organic and inorganic growth. We've delivered over $1 billion in adjusted EBITDA and return over $400 million to shareholders during the year, as we execute on a capital allocation strategy balanced between share repurchases, acquisitions, and investments for sustainable growth. We are confident in the foundations we built for long-term success and believe we're in a strong position to deliver sustainable shareholder value, while fulfilling our purpose and commitments to our people and our communities. Now, let me hand it over to Nick. He'll talk you through our Q4 and full year results, and will also discuss our guidance and assumptions for 2023. Nick?
Nicholas Alexos: Thank you, David. Good morning and hello to all. I am pleased to share Univar Solutions Q4 financial results, update general business, and provide our 2023 outlook. Adjusted earnings per diluted share was $0.47 in the quarter, a decrease from $0.60 in the prior year's fourth quarter, whereas full year adjusted EPS was $3.40 a share, an increase of 53% year-over-year. Cash from operations in Q4 was $376 million, reflecting a reduction in networking capital, and cash from operations for the full year was $546 million higher by 88% year-over-year. Year-end networking capital was 15.9% of Q4 annualized sales, primarily due to higher inventory versus prior year driven by customer destocking. Capital expenditures for the quarter were $50 million, which reflect a good mix of high ROI investments. Full year capital expenditures totaled $154 million, slightly above our guidance of $145 million as we were able to complete more projects than anticipated. Our ROIC was 20.7% for the year, driven by a strong earnings performance and efficient asset utilization, and our leverage ratio now stands at 2.0 times. These ratios are net of $409 million of cash returned to shareholders during fiscal year 2022 through our share repurchase program and with over $459 million returned to our shareholders since the beginning of the program in Q4 of 2021. Sales in the fourth quarter on a constant currency basis were up approximately 7% with growth across all geographies, while the corresponding gross profit was down 2.5%. The higher sales were primarily due to our pricing discipline in inflationary markets, while gross profit was lower in the U.S. and EMEA as higher cost of goods sold and lower demand from customer destocking more than offset pricing benefits. Canada's gross profit increased year-over-year and LATAM's benefited from the Sweetmix acquisition, which is performing better than planned. Adjusted EBITDA for Q4 was $175 million and margins decreased across the board except for LATAM, primarily due to lower gross profits, which were partially offset by operating efficiencies in some regions. Adjusted EBITDA was slightly below our Q4 guidance as customer destocking was more significant than anticipated. For the full year, on a constant currency basis, sales were up 24% and the corresponding gross profit was up 19%. Gross profit margins were lower for the year throughout our regions, largely driven by input cost inflation, partially offset by pricing discipline. For the year, operating leverage led to higher adjusted EBITDA margins in the U.S., whereas lower gross margins in other regions more than offset this benefit. Moving onto trends in our end markets during 2022. Our Ingredients and Specialty channel continues to grow in both Life Sciences, formally known as consumer solutions, and Industrial Solutions. Within Life Sciences, food and beauty and personal care saw strength throughout the year as our partnership with our suppliers and customers provided formulations that address growing consumer trends such as clean label and next-generation products. Pharmaceuticals continued to grow due to the increased demand for high purity actives, excipients, and other necessary ingredients since the pandemic. Within Industrial Solutions, homecare and industrial cleaning and lubes and metal working saw growth through pricing discipline and further supplier development. Our CASE business was impacted by product tightness and inflation for most of the year, and the slowdown in housing construction resulting from higher interest rates during the back half of the year. Chemical and Services channel saw strong growth over the course of the year with many of our core industries seeing accelerated demand and resilient pricing. Our continued focus on putting the customer at the center of all we do has led to above market growth in chemical manufacturing, mining, and clean energy. Our robust offering of water treatment chemistries allows us to provide both municipalities and industrial customers with solutions for managing and purifying water. We are also beginning to accelerate our offerings into the North American electronics market with high purity chemistries necessary for manufacturing microchips. Additionally, we saw growth in agricultural chemistries, pulp and paper, and in the general manufacturing sectors. Our 2023 outlook assumes a continuation of year-end destocking into Q1. For the full year 2023, we expect low GDP in the U.S. and Canada with softer demand in the first half. In EMEA, recent growth has been weaker and we do not expect a significant change in 2023. Overall, we expect chemical prices to generally stabilize at current levels throughout all our regions. We expect over $40 million of cost savings for the year with roughly half occurring in DGP from transportation efficiencies, and the other half in WS&A. These will annualize annualized over $60 million. Given the expected lower growth environment, our 2023 adjusted EBITDA margin will be in the range of 8.2% to 8.4%. We expect with normalized growth beyond 2023 to achieve our 9%-plus EBITDA margin target as we continue to grow market share, and otherwise execute well as we have for the last several periods. As a result, we expect our adjusted EBITDA performance for the first quarter to be in the range of $200 million to $220 million, and for the full year, we expect our performance to be in the range of $900 million to $930 million. Let's review some of our cash flow highlights for our 2023 outlook. For year ended 2023, we are targeting networking capital of 14% to 14.5% of annualized quarterly sales by year-end, and expect networking capital to be a source of cash given the lower sales in 2022 and our initiatives to improve our networking capital efficiency. Our interest expense is higher due to rising rates on the 30% of our debt that is floating rate and the expected use of cash during the year. Our 2023 cash taxes are expected to be lower than the prior year and assume an effective tax rate in the 27% to 29% range, given the geographic mix of earnings. And we're expecting approximately $155 million of capital expenditures for 2023. Consequently, our estimated net free cash flow for 2023 is $435 million, which is approximately a 48% conversion from adjusted EBITDA. During 2023, we expect to continue our plans to return capital to shareholders in the range of $300 million. Over the coming months, our Board will continue to review plans to implement a dividend this year as an additional component of our capital allocation strategy. We are confident in our execution and our outlook for the full year 2023 and beyond. David?
David Jukes: Thanks Nick. As highlighted last quarter, in addition to growth in our markets, we hold ourselves accountable to the metrics that our customers value most and which are independent of chemical prices. We continue to make measurable progress in our four key areas of reliability, safety, technical differentiation, and competitive pricing, and in the year with a record high NPS score, as well as a record low lost time injury rate. Our investments in customer satisfaction and ESG have shown steady, sustainable improvement, and we'll continue to invest in technology based innovative solutions to support growth for our suppliers and customers. Our pipeline of opportunities for inorganic growth is continuing to develop, and I'm pleased that we've announced two highly complimentary acquisitions so far this year. Last month, we entered into an agreement to acquire Kale Kimya, a renowned specialty distributor based in Turkey and dedicated to the homecare, industrial cleaning and beauty and personal care markets. This investment builds on our strong existing specialty presence in the region and supports our plan to be a leading specialty chemical distributor in the broader EMEA region. Earlier this month, we acquired ChemSol Group, a leading ingredients and specialty chemical distributor with locations in Costa Rica, Guatemala, El Salvador, Panama, and Honduras. The acquisition further extends our Ingredients and Specialties platform in essential and South America, and provides enhanced growth opportunities for our supplier partners. We believe these acquisitions demonstrate our disciplined focus on identifying decretive, tuck-in M&A opportunities that serve to extend our supplier and customer relationships and enhance our shareholder value. Our earlier acquisitions in Brazil and Spain are already proving to be accretive as we're realizing higher plan benefits and new supplier authorizations ahead of schedule, and more extensive than anticipated. Our pipeline of inorganic growth opportunities remains very attractive and robust within the highly fragmented global distribution industry. Over the past three years, we've successfully executed and delivered on our strategic plan, which provides us with a strong foundation for long-term growth, as well as the ability to successfully navigate the dynamic macroeconomic environment. We've solidified market leadership in North America and reduced our significant exposure to some highly cyclical end markets. We've established a global sales channel and delivered growth in Ingredients and Specialties. We successfully integrated the largest acquisition to date in chemical distribution and delivered the promise synergies on time. And we've established digital leadership through our SAP migration and suite of customer-centric digital tools. Beyond these accomplishments, we're now achieving market share growth, new product authorizations, and executing tuck-in M&A, which will collectively drive growth in margins and overall cash flow. As previously mentioned, in 2022, we delivered over a $1 billion in adjusted EBITDA with sustained positive net free cash flow, which we use to buyback over $400 million of shares. Our transformed business positions as well to continue to navigate the dynamic macroeconomic environment and more specifically, as we've demonstrated in the past, provide insulation against some of the effects of an economic downturn. Whatever the macroeconomic circumstances, given the essential nature of ingredients and chemicals we provide, our communities need us to help keep them healthy, fed, clean and safe, and we do so with an unrelenting focus on safety and the environmental, social, and governance structure of our company. We're working every day to bring more sustainable and innovative solutions to our customers as we work closely with our suppliers as a thought leader and consultative partner. Before we come to your questions and to summarize, over the last three years we've transformed the company putting the customer at the center of all we do and expect to deliver consistently resilient results regardless of the macro environment. We continue to believe in our 2025 goals and expect to deliver an adjusted EBITDA margin greater than 9% with 50% net free cash flow conversion, ROIC of greater than 20%, and adjusted EPS greater than $4.50. We plan to use our net free cash flow to fund growth initiatives through a combination of high ROIC capital investments and selected opportunistic acquisitions. Our capital allocation strategy through 2025 reflects our confidence in our cash generation capabilities, as well as the long-term value of our company. Net of capital expenditures, we continue to believe our business will generate approximately $1.5 billion in net free cash flow from 2023 to 2025, and we expect to execute against our $1.5 billion share buyback authorization over the next four years. This, along with our Board's continued intention to initiate a dividend in 2023, demonstrates the confidence in our business and a serious commitment to returning capital to our shareholders. We believe we're in a strong position to deliver long-term shareholder value while fulfilling our purpose and commitments to our people and communities.  Now, whilst I welcome your questions, in regards to our 2022 results, our 2023 outlook, or our business strategies, I do not intend making any additional comment in regards to the announcement made on January 2, related to indications of interest we've received with respect to potential transactions. As has been previously noted, there can be no assurance any discussions regarding indications of interest will result in the transaction. With that, thanks for listening and will open up the lines to you.
Operator: Thank you. [Operator Instructions] Our first question comes from John Roberts of Credit Suisse to begin. John, please go ahead. John, your line is now open. Please proceed with your question.
John Roberts: Sorry, I was on mute. Thank you. I think of the I&S business is growing faster than the C&S business, but in 2022, it grew slower in USA and it grew about the same in EMEA. Can you comment on why that mix shift occurred?
David Jukes: Yeah. Good morning, John. Thanks for the question. I mean, in both businesses grew last year, and delivered an outstanding performance. We do have growth opportunities right across the entire portfolio, which is one of the advantages of the business blender we have. On our I&S business, some of that is very much consumer facing. And so, in the last quarter would've seen a bigger dip due to destocking than our C&S business, which tends to be more of the essential chemistries. But we have great execution, and great results from both sides of that business.
John Roberts: And then, Nick, on slide eight, that's 75 -- $79 million of other use of cash, is there something big that's driving that or is that just a bunch of small things aggregated together?
Nicholas Alexos: Yeah. Sure, John. Good morning. That principally reflects the disproportional bonus payments in 2023 that were accrued in 2022 versus a normalized level that would be paid out and accrued for 2023 given the target for the guidance. So, it's really the timing difference. All of that is paid in Q1. So, you will see that to be a positive number than through the rest of the year.
John Roberts: Great. Thank you.
Operator: Thank you. Our next question comes from Lauren Favre of Exane BNP Paribas. Lauren, your line is open. Please go ahead.
Laurent Favre: Yes. Good morning, all. I got a question for David on strategy. As you are disclosing more, and I guess you're performing well in I&S, I was wondering if you could talk to us about the pros and cons of keeping the group together. So, keeping the two businesses together. Would it make any sense? Or do you think it would -- or let's say, have you started to think a little bit more about this now that you started to run the business a bit more separately over the last year and a half?
David Jukes: Good morning, Laurent and thanks for the question. Look, I mean, our Board and management regularly view our strategy to ensure we're best positioned to enhance shareholder value and to grow our business. And we've developed very customer focused strategies across all our businesses and leverage that infrastructure to drive growth and margins. So, whilst we suddenly recognize the relative valuations of the business in the equity markets, we believe our recent and expected performance highlights the ROIC and cash flow yield of our total company strategy.
Laurent Favre: Thank you. And then, as a follow up, is there any part of the portfolio where you would say you are still overearning?
David Jukes: I don't think so. No, I wouldn't say that at all.
Laurent Favre: Okay. Thank you. 
Operator: Thank you. Our next question comes from Frank Mitsch of Fermium Research. Frank, your line is open. Please proceed.
Frank Mitsch: Thank you and good morning folks. The $204 million worth of buybacks during the fourth quarter, I'm curious as to what the pace of that was. Were you buying back stock during December?
Nicholas Alexos: Hey, Frank. It's Nick speaking. As you know, we executed an ASR right after our last earnings call. And so that was transacted as of that date, and was being executed via our agent Goldman Sachs in that process. So, we were doing nothing during that period. We did a little bit of stock buyback in the early part of that period, but all -- most of that $200 million, all the $200 million was really through the ASR and a third-party.
Frank Mitsch: Gotcha. And so that wouldn't have any impact. So, any discussion that you may or may not be having regarding a transaction with the company, since the ASR is in place that's not going to have a material impact on that, is that correct?
Nicholas Alexos: I'm not sure I understand exactly the question, but as I said, the ASR was executed right after the earnings call and we were not transacting directly in stock buyback as the company.
Frank Mitsch: Understood. So, I was just trying to clarify the $300 million that you have -- that you're planning on doing returning to shareholders this year. I was just curious if any discussions that you may or may not be having, what the impact would be, but it would sound like under an ASR that probably isn't being impacted there. And speaking of return to shareholders, the comment on the last conference call was -- the plan was to implement a dividend in early part of the year. The commentary today was just during this year, what are the latest thoughts on the Board on implementing a dividend?
David Jukes: Morning, Frank. Nice to speak to you. Our current allocation strategy 2025 really reflects our confidence in our cash generation capabilities. That's further evidence by that 1.5 billion share repurposed program we have. Now for reasons that are nothing to do with the prospective cash flow generation of our business right now is not the time, they're the dividend. It's something that we continue assessed. But I mean, we still are very confident. We're in a strong position to deliver long-term shareholder of value.
Frank Mitsch: Thank you, David. Appreciate it.
Operator: Thank you. Our next question comes from Kevin McCarthy of Vertical Research Partners. Kevin, your line is open. Please go ahead.
Kevin McCarthy: Yes. Good morning. If prices were frozen today, what do you think your contribution to sales from higher prices could be in 2023?
David Jukes: Kevin, well, thank you for the question. I don’t know, I mean, that's incredibly hypothetical. Prices aren't going to be frozen where they are today, and we operate in a dynamic macro environment and we're very confident about our ability to execute in that dynamic macro environment. So, I don't know. I've got no idea.
Kevin McCarthy: Well, perhaps a bit of context would help. If I take your EBITDA midpoint of $915 million for 2023, and I gross that up at Nick's margin midpoint of 8.3%, I get about $11 billion of sales, which seems to imply that you would expect sales to go down. I recognize it's an uncertain economic environment and volumes may not be very exciting, but I would've thought that, price flow through would be positive in 2023 versus 2022 given the inflationary wave that so many chemical companies have been experiencing. So that was sort of the genesis of how I was thinking about that.
Nicholas Alexos: Yeah. And Kevin, on a full year basis, they will go down, given the exceptional pricing early in 2022. But on a current level basis, which I think is what was David was answering, we expect really no exceptional pricing benefit in our guidance that we've given you. So, the total year number is going to be down versus prior year on a sales basis, and you did the exact correct extrapolation of our EBITDA to the margin level that we discussed.
Kevin McCarthy: Got you. Okay. Thank you for that. And secondly, I think in your guidance, if I'm not mistaken, you've included a contribution from new supplier authorizations of $20 million. What -- is that enhanced today, or an expectation for future wins? And maybe you can help us to put that number in context, not sure what the experience was in 2022, for example.
David Jukes: I'm sure Kevin. That's hypothetical and easier for me to answer. We had 67 new authorizations that we closed in 2022. We expect them to deliver $20 million in 2023. I think, if I remember correctly, going into 2022, we talked about I think $20 million, maybe $25 million. My memory says $20 million from new authorizations closed in 2021. So, that's what we're seeing. There were 67 closed in 2022, and they will generate, we expect, around $20 million in 2023.
Kevin McCarthy: I see. Thank you very much.
Operator: Thank you. Our next question comes from David Begleiter of Deutsche Bank. David, your line is open. Please proceed.
David Begleiter: Thank you. David, just on the discussions, can you at least provide maybe a timeframe the Board is speaking about in terms of either making decision or wrapping up the current round of discussions?
David Jukes: Hi, David. And thanks for the question. No. As I said earlier on, I'm not making any comments at all on this, so sorry. No.
David Begleiter: Understood. And just on destocking, can you comment on both your destocking that you went through as well as your customers destocking that's occurred.
David Jukes: I mean, as you've appreciated, and the supply chains were pretty full last year. We think there's probably something like $25 million of destocking that impacted our EBITDA in Q4. It's carried on a little bit into Q1 and we are expecting that to unwind at some points like many of our suppliers are as well. But that's trying to put a border around it -- is around $25 million in the fourth quarter.
David Begleiter: Thank you.
Operator: Thank you. Our next question comes from Steven Byrne of Bank of America. Steven, your line is open. Please go ahead.
Steven Byrne: So, just continuing under that discussion about the destocking, what would you say the split would be between price and volume in this 7% constant currency revenue gain in the quarter? Was -- were volumes positive?
David Jukes: Hey, Steven. Thanks for the call. Nice to speak to you. I mean, now we don't talk about volumes very often. Our volumes were down in Q4, as people were destocking. As I mentioned earlier on, that was a little more noted in those markets which are very close to the consumer, like coatings for instance, type of construction or beauty care. But I mean, it was generally destocking right across the whole piece.
Steven Byrne: So, when we look back to the prior three quarters in the 2022 when your margins were lofty double-digit range, were you getting price then that was in excess of what was flowing through your purchases in raw material costs, so that if you didn't have the destocking that occurred in the fourth quarter, your margins would've been up year-over-year. Are you indeed at a point where pricing is more than offsetting raw material costs?
David Jukes: So, we were very open about the amount of over earnings that we did last year. We were very open for the first three quarters about the amount of over running we did last year. There was a net $120 million, and so, we couldn't have been more clear about that. We also have been open about our intrinsic value and the value we think we can generate for the services that we provide. And our customers recognize that. And we'll continue to be disciplined with pricing, and take advantage of upswings or downswings the market if we can around the margins. But we were very transparent about our over earning last year.
Steven Byrne: Yeah. I'm just -- in the appendix, every one of the regional segments, the margin being down in the fourth quarter was attributed to price being insufficient to offset raws. It sounds like it was really more of a volume impact and not price.
Nicholas Alexos: Yeah. Steve, I mean, it was definitely a volume impact that was a destocking. And as it was noted, we ended up with more inventory than we thought, also principally because of destocking. But you're absolutely right. The issue in Q4 was a volume issue as a result of destocking. Pricing was what we would view as a normalized spread between our cost of good sold and prices. We had no exceptional profits in Q4, nor do we expect any during this year or at least not forecasted in our guidance.
Steven Byrne: Okay. Thank you.
Operator: Thank you. Our next question comes from Josh Spector of UBS. Josh, your line is open. Please go ahead.
Joshua Spector: Yeah. Thanks for taking my question. Just want to continue some of the destocking commentary. And I guess a lot of the firms we've talked to so far talked about January not looking a whole lot better than December and February. I don't know if we have a lot of data points on yet. So, I'd just be curious I mean, you talk about destocking easing. Have you seen that in the order patterns yet? And any other commentary you can provide about your assumptions on growth I guess as you go through the rest of the year. Thanks.
David Jukes: Yeah. Josh, morning and thanks the question. Yeah. And as I said, we attribute about $25 million to destocking in Q4. As I said earlier on that carried on a little bit into Q1, and that's reflecting our guidance of $200 million to $220 million.
Joshua Spector: Okay. Well, I guess, then, so would you say now your order patterns in February normal, you're not seeing destocking carrying on, you're past that?
David Jukes: I think that there -- it all depends on the end market. There are some end markets which are starting to pick up again. There are others which destocking carrying on, that's then reflected in our guidance.
Joshua Spector: Okay. I guess, just shifting to acquisitions. Just to clarify for what's in 2023, I guess, is the deal that you completed in the guidance and the deal that's yet to close, not in the guidance, and is there a way to - are they notable?
David Jukes: Sorry. There are no proceeds. There's no benefits from the acquisitions in our guidance.
Nicholas Alexos: And Josh the expected -- and Josh, the expected EBITDA benefit on a reported basis for the year would probably be $10 million to $15 million added to the guidance level. And on a full year basis, those acquisitions would be $20 million to $25 million depending on how many -- when we complete any other transactions. But for the two that we've talked about, I would use a $20 million number.
Joshua Spector: Got it. Very helpful. Thank you.
Operator: Thank you. And the final question of today comes from Duffy Fischer of Goldman Sachs. Duffy, your line is open. Please go ahead.
Duffy Fischer: Yeah. Good morning, guys. Just want to go back under the cash flow, the $300 million you guys talk about coming back to shareholders, is that both the new dividend plus buyback, or is that just buyback?
Nicholas Alexos: Hey, Duffy. It's Nick. Our structured approach is total return to shareholders. The amount could be larger depending on our M&A for the year. So, I would say it'll be a $300 million plus number for the year depending on what happens with the dividend.
Duffy Fischer: Okay. And what will you guys recommend to the Board as far as where the dividend should be? I mean, can you give us a range of what you're thinking about?
David Jukes: I think that's a conversation we'll have -- we'll continue to have with the Board, Duffy.
Duffy Fischer: Okay. Fair enough. And then, if it's $300 million, the 135 that's above that from your net free cash flow from that slide eight, should we assume that -- again, if this is all perfect, if that ends up going to M&A, is that the delta there, there's no reason to build cash from here?
Nicholas Alexos: That's correct.
David Jukes: That's correct.
Duffy Fischer: Okay. All right. Thank you guys.
David Jukes: Sure.
Operator: Thank you. We currently have no further questions, so I'll hand back over to you, Heather Kos, for any closing remarks.
End of Q&A:
Heather Kos: Thank you, ladies and gentlemen for your interest in Univar Solutions. If you have any follow up questions, please reach out to the investor relations team. This does conclude today's call.
Operator: Ladies and gentlemen, that concludes today's call. Thank you so much for joining. You many now disconnect your lines.